Operator: Ladies and gentlemen, thank you for standing by. Welcome to Gilat Satellite Networks Ltd.'s Fourth Quarter 2025 Results Conference Call. All participants are at present in listen-only mode. Following the management's formal presentation, instructions will be given for the question and answer session. For operator assistance during the conference, please press 0. As a reminder, this conference is being recorded on February 10, 2026. By now, you should have all received the company's press release. If you have not received it, please view it in the news section of the company's website, www.gilat.com. I would now like to hand over the call to Mr. Sanjay Harry of Alliance Advisors IR. Mr. Harry, would you like to begin, please?
Sanjay Harry: Thank you, Hilla, and good morning, everyone. Thank you for joining us for Gilat Satellite Networks Ltd.'s earnings conference call for the fourth quarter and full year 2025. With us on today's call are Mr. Adi Sfadia, Gilat's CEO, and Mr. Gil Benyamini, Gilat's Chief Financial Officer. The earnings press release was issued earlier today, and if anyone has not yet received a copy, I invite you to visit the company's website, www.gilat.com, where you'll find the release in the Investor Relations section. Before turning the call over to management, I would like to remind everyone that some statements made during this conference call contain forward-looking statements based on current expectations. Actual results could differ materially from those projected as a result of various risks and uncertainties. The potential risks and uncertainties that could cause actual results to differ materially include uncertain global economic conditions, reductions in revenues from key customers, delays or reductions in U.S. and foreign military spending, acceptance of the company's products on a global basis, and disruptions or delays in the company's supply of raw materials and components due to business conditions, global conflicts, weather, or other factors not under its control. The company cautions investors to not place undue reliance on forward-looking statements, which reflect the company's analysis only as of today's date. The company undertakes no obligation to publicly update forward-looking statements to reflect subsequent events or circumstances. Further information on these factors and other factors that could affect Gilat's financial results is included in the company's filings with the Securities and Exchange Commission. In addition, on today's call, management will refer to certain non-GAAP financial measures that management considers to be useful and differ from GAAP. These non-GAAP measures should be considered supplemental to corresponding GAAP figures. With that, I would like to turn the call over to Gilat CEO, Mr. Adi Sfadia. Please go ahead, Adi.
Adi Sfadia: Thank you, Sanjay, and good day, everyone. Thank you for joining us today to discuss Gilat Satellite Networks Ltd.'s fourth quarter and full year 2025 results. I am pleased to report that we closed both the quarter and the year with strong performance. The fourth quarter capped a very solid 2025, reflecting consistent execution across our commercial, defense, and Peru businesses, as well as continued strategic progress. 2025 was a year of significant acceleration of our revenue growth. Fourth quarter revenue reached $137 million, up 75% year over year. Full year revenue rose to $451.7 million, up 48% with 6% year-over-year organic growth. Adjusted EBITDA also saw significant growth, with the fourth quarter reaching $18.2 million, 50% above the same quarter last year. The full year adjusted EBITDA hit $53.2 million, a 26% growth year over year. Overall, 2025 was a good and successful year for the company. Now on to the business review. I will start with the defense. Military forces are increasing their dependence on resilient satellite connectivity to support mobility, real-time intelligence, and operations in contested environments. This shift favors suppliers with proven scalable systems, strong track records, and the ability to leverage commercial technology to the defense market, all of which are attributes of Gilat Defense. Gilat Defense is gaining steady demand from long-term defense programs, ongoing upgrades, and consistent Satcom spending, giving the business clear visibility into future growth. This strengthens Gilat's border defense portfolio and supports the company's ability to capture a larger share of the growing market that values the capabilities we provide. In 2025, our defense business delivered strong year-over-year growth in new order bookings, expanding customer engagement, and our addressable market. We achieved a record year for Gilat Defense sales, driven by increased demand from U.S. and allied defense customers for transportable, high-performance SATCOM solutions. This system continued to gain traction as defense organizations prioritize flexibility, rapid deployment, and resilient connectivity across diverse operational environments. The fourth quarter marked two important milestones for the business. First, we expanded into a new market segment, Earth Observation, with an approximately $10 million order for a direct downlink solution system enabled rapid acquisition of satellite imagery and data directly from space to a transportable ground terminal supporting near real-time intelligence and situational awareness in remote or contested environments. Our transportable platform provides fast deployment, resilient, and reliable operation. Also in the fourth quarter, we saw continued traction in Israel, securing significant orders across our defense portfolio and expanding the deployment of our solutions in the region. Our decision to shift more resources into Gilat Defense, expand the sales team, and increase R&D investment are now clearly strengthening Gilat's position in the defense market. Our defense pipeline remains strong, supported by sustained global demand for secure, resilient Satcom solutions. Turning to our commercial business. Demand for advanced IFC continues to accelerate, fueled by free WiFi, growing passenger demand for high-bandwidth applications, and increasing adoption of NGSO and multi-orbit architectures across the aviation ecosystem. This trend aligns directly with Gilat's strength and long-term strategy. Our commercial business delivered a strong fourth quarter and solid 2025, reflecting continued wins, growing customer adoption, and consistent performance across our key programs. As satellite operators accelerate investment in next-generation networks, our platform continues to be selected for its scalability, flexibility, and ability to support multi-orbit mobility-driven services. SkyH4 remained the central growth driver throughout the year. During the fourth quarter, we received a $42 million order from a leading global satellite operator for our multi-orbit platform, primarily supporting IFC services. During the fourth quarter, we added two new SkyH4 customers in Asia Pacific. We continue to expand deployments with leading satellite operators as they invest in flexible, software-defined ground networks. These awards reinforce SkyH4's role as a core platform for large-scale next-generation satellite networks. We also strengthened our presence in Asia Pacific with a SkyEdge platform order for approximately $11 million from a leading regional satellite operator to provide services over VHDS satellites supporting multiple commercial applications. In addition, we received more than $16 million in orders for Gilat WaveStream Gateway solid-state power amplifiers to support LEO constellation, highlighting growing traction for our solutions as LEO networks move from deployment into operational phases. Airlines and system integrators expanded our adoption of our technology for next-generation aircraft connectivity. During the fourth quarter, we received a $7 million order for Gilat WaveStream Airstream Bucks units to be deployed as part of next-generation IFC solutions to be installed on commercial aircraft. Stellar Blue is now fully integrated into Gilat's operations, and we are benefiting from cross-company synergies. Gilat's Stellar Blue plays a key role in our IFC leadership position with enhanced offerings that drive further growth for ESA in the IFC sector. Production is ramping up, and during the quarter, we delivered approximately 190 terminals, and we expect increased deliveries with improved margins in the coming quarters. As of year-end, we have a significant backlog that will be delivered in 2026 and beyond, based mostly on orders received during 2025. To date, more than 420 aircraft are online with our ESA terminal, and cumulatively, over 1 million passengers are being served each week with our models and ESA solutions. Continuing this progress, we received a multimillion-dollar order for our Sidewinder ESA terminal from a large global avionics company, underscoring the advantage of our high-performance, lightweight, low-profile configuration that is compatible with both GEO and LEO satellite constellations. Overall, our commercial pipeline remains strong as operators transition to multi-orbit architectures to support additional services, positioning us well for continued growth into 2026. Moving to Peru. Gilat Peru delivered exceptional results during the year, closing more than $85 million in agreements from Ponatel for the upgrade of four regional networks. These awards clearly reinforce Gilat's role in Peru as a key technology and solution partner for large-scale national connectivity initiatives. These projects, which are progressing ahead of schedule, are advancing Peru's digital inclusion objectives by enabling public WiFi hotspots and high-speed connectivity to public institutions such as schools, health centers, and police stations. Looking ahead, we see this progress continuing. We expect additional large RFPs and follow-on orders during 2026, positioning Peru as an important contributor to Gilat's long-term growth in large national digital inclusion programs. Our backlog is growing, with a strong, healthy, and diverse pipeline of opportunities in each of our divisions. As such, we expect another year of top-line and profit growth. We expect 2026 revenues to be between $500 million and $520 million. We expect adjusted EBITDA to be between $61 million and $66 million. To summarize, 2025 was a strong year for Gilat, marked by a good fourth quarter, record performance in key segments, meaningful customer wins, and a significantly strengthened balance sheet. We are entering 2026 with strong momentum across the company. In Defense, we will focus on driving revenue growth through business development, R&D investment, and portfolio expansion, further strengthening our position. We intend to pursue opportunities in government and sovereign communication programs worldwide. In commercial, we will continue to drive adoption of our IFC product portfolio and expand our offering for next-generation aircraft connectivity, further strengthening our leadership position in IFC. We will also focus on expanding our SkyH4 customer base. In Peru, we plan to expand our footprint by participating in new digital inclusion initiatives and network expansion projects, building on our proven execution and local presence. Gilat is accelerating its competitive advantage through continued technology leadership in multi-orbit connectivity and the development of advanced 5G and TEN capabilities. Mergers and acquisitions will be a key strategic focus, with primary emphasis on defense-related capabilities that complement our existing strengths. Gilat entered 2026 with a strong balance sheet and with an additional $100 million equity placement in the fourth quarter, bringing total capital raised in 2025 to $166 million. This investment enhances our ability to pursue strategic opportunities and build on the milestones achieved this year. I would like to thank our employees for their commitment and performance and our customers and partners for their continued trust. And with that, I will hand over the call to Gil, our CFO. Gil, please go ahead.
Gil Benyamini: Thank you, Adi. Good morning and good afternoon to everyone. Before I dive into the numbers, I would like to remind everyone our financial results are presented both on a GAAP and non-GAAP basis. I will now walk through our financial highlights for 2025. As Adi mentioned, we delivered a strong quarter and year, demonstrating continued execution across our strategic priorities and building momentum into 2026. In terms of our financial results, revenues for the fourth quarter were $137 million, representing a 75% growth compared with $78.1 million in Q4 2024. Importantly, our organic growth quarter over quarter was 28%. For the full year, revenues totaled $451.7 million, reflecting 48% growth from $305.4 million in 2024. The growth was primarily driven by the in-flight connectivity vertical. In terms of the revenue breakdown by segment, Q4 2025 revenues for the Commercial segment were $75.1 million compared with $37 million in the same quarter last year. 103% growth was primarily driven by the in-flight connectivity, mainly reflecting the contribution from Stellar Blue. Q4 2025 revenues for the Defense segment were $33.3 million, 14% higher than $29.4 million in the same quarter last year. Q4 2025 revenues for the Peru segment were $28.5 million compared with $11.8 million in Q4 2024. The increase was driven primarily by higher revenues related to new upgrade projects in four of the six regions in which we operate. Our GAAP gross margin in Q4 2025 was 28% compared with 40% in Q4 2024. The decrease is primarily attributable to lower margins at Stellar Blue as production ramps up, as well as an additional $2.9 million of amortization of purchased intangibles expenses related to the acquisition. GAAP operating expenses in Q4 2025 were $25.3 million compared with $18.3 million in Q4 2024. The increase was primarily driven by the consolidation of Stellar Blue expenses, amortization of acquired intangible assets, and stock-based compensation mainly related to acquisitions. As a result, GAAP operating income in Q4 2025 was $13 million compared with GAAP operating income of $12.8 million in Q4 2024. GAAP net income in Q4 2025 was $8.8 million or a diluted income per share of $0.13 compared with GAAP net income of $11.8 million or diluted income per share of $0.21 in Q4 2024. The decrease in net income mainly reflects higher financing costs associated with the loan taken to finance Stellar Blue acquisition, together with higher tax expenses during the quarter. Moving to non-GAAP results. Our non-GAAP gross margin in 2025 was 31% compared with 40% in Q4 2024. Non-GAAP operating expenses in Q4 2025 were $26.6 million compared with $21.9 million in Q4 2024. The increase was primarily driven by the consolidation of Stellar Blue operating expenses. Non-GAAP operating income in Q4 2025 was $15.2 million compared with $9.7 million in Q4 2024. And non-GAAP net income in Q4 2025 was $13.4 million or a diluted income per share of $0.20 compared with a net income of $8.5 million or income per share of $0.15 in Q4 2024. The adjusted EBITDA in Q4 2025 was $18.2 million, a 50% increase compared with an adjusted EBITDA of $12.1 million in Q4 2024. For the full year, adjusted EBITDA was $53.2 million, a 26% increase compared with an adjusted EBITDA of $42.2 million in 2024. Moving to the balance sheet and cash flow. Over the past several quarters, we significantly strengthened our balance sheet and liquidity position. In September and December 2025, the company completed capital raises totaling $166 million from leading institutional accredited investors in Israel. In December 2025, we also repaid an outstanding $60 million loan that had originally financed the acquisition of Stellar Blue. In 2025, we used about $6.3 million of cash on operating activities. And on a full-year basis, we generated approximately $21 million of operating cash flow in 2025. As a result, as of December 31, 2025, total cash, cash equivalents, restricted cash, and short-term deposits were $185.4 million or approximately $183.4 million net of loans, compared with $95.6 million as of September 30, 2025. DSOs, which exclude receivables and revenue of our terrestrial network construction projects in Peru, were eighty-eight days. Our shareholders' equity as of December 31, 2025, totaled $500 million compared with $391 million on September 30, 2025, resulting mainly from the capital raise and earnings. Looking ahead, reflecting our strong backlog and our visibility into 2026, we expect 2026 revenues of between $500 million and $520 million, representing 13% growth year over year at the midpoint. We expect an adjusted EBITDA of between $61 million and $66 million, a 19% growth at the midpoint. We expect 2026 commercial segment revenues of between $315 million to $335 million, a 16% growth at the midpoint. Defense segment revenues of between $115 million to $113 million, a 22% growth at the midpoint. And revenue of the Peru segment of between $60 million to $65 million, an 11% decrease at the midpoint due to lower construction revenue in 2026 and a shift to the operation phase compared to 2025. That concludes my financial review. I would now like to open the call for questions. Operator, please go ahead.
Operator: Thank you. Ladies and gentlemen, at this time, we will begin the question and answer session. If you've connected via Zoom, please use the raise hand button located at the bottom of your screen. Your questions will be pulled in the order they are received. Please stand by while we pull for your questions. The first question is from Ryan Koontz of Needham and Company. Please go ahead.
Ryan Koontz: Thanks. Appreciate the question. Nice quarter, guys. On the defense side, you know, given kind of some of the puts and takes been going on with the US budget process and how you're thinking about this year. Maybe can you update us on your visibility as it relates to the defense market both in the US and any international traction you might have? Thank you.
Adi Sfadia: Hi, Ryan. On the visibility to defense, generally when we are entering a year, we have between 50% to 60% of the revenues already in backlog from the guidance. So we have relatively good visibility. We have some large projects that we are working on that can secure the year during the first half of the year. We don't see any effect of the recent shutdown in the US administration. We see increased budget and a lot of traction both in the US, in Israel, and in Europe when a defense organization requires satellite connectivity.
Ryan Koontz: That's great. Thanks. And maybe shifting gears to IFC a bit. Can you update us on your roadmap there for line fit? I know you've been looking forward to that and maybe an update on the competitive landscape in IFC.
Adi Sfadia: Sure. So on the line fit, as we said in the past calls, we are progressing with Boeing line fit. We expect to pass certification during the first half of the year and start delivering in the third quarter. So it seems promising and on track. With Airbus, we are in initial phases. So it takes some time and probably will drag us to next year. But this is based on initial expectations. So we didn't expect revenues from Airbus line fit in 2026. The competitive landscape stayed, give or take, the same. There is a lot of traction. Both SES and Panasonic have decent awards. Not everything is published yet. So we do see their forecast and we do expect some large orders coming in the first half of the year, hopefully, this quarter. As I said in my script, most of the guidance is already covered with the backlog that we have, that we received mostly in 2025. So all the orders that we expect to get during 2026 probably will be recognized in revenues in 2027.
Ryan Koontz: That's terrific. Thanks. Maybe just touching on Peru. I know that business can be a bit lumpy. I know that they have an election plan coming up. Can you maybe talk to the kind of cadence how you expect the Peru business to unfold this year?
Adi Sfadia: Sure. So in Peru, during 2025, we got an award for upgrading four regional networks that we maintain. We are in discussion with the government to upgrade the remaining two networks. We believe that we'd be able to close it before the election in the second quarter. In parallel, there are a lot of internal discussions in Peru of very large RFPs for Internet connectivity, both terrestrial and satellite in Peru. So we expect to participate in those RFPs. A lot of traction in Peru. We don't believe that the election will cancel any of those RFPs. Probably, we'll see most of the RFPs during the first quarter and during the fourth quarter of the year.
Ryan Koontz: Really helpful. Thanks. I'll get back in the queue.
Adi Sfadia: Thanks. Bye.
Operator: The next question is from Sergey Glinyanov of Freedom Broker. Please go ahead.
Sergey Glinyanov: Good morning, gentlemen. So you provided pretty positive guidance for defense, and you mentioned a new area of expanded operations in earth observation solutions. But could you put some colors on these contracts and its margin profile? Could it be a significant driver for defense revenue this year, and do you expect defense order acceleration in Q1 compared to Q4? Thank you.
Adi Sfadia: Hi, Sergey. So I'll start with a general comment on the defense. We saw in revenues relatively small growth year over year. It's mainly due to the previous shutdown of the US administration that caused some delays in orders. We didn't lose any deal, but because some of the revenues are recognized based on project progress, and if the order arrives late, we are unable to recognize revenue. So we'll see it in 2026. We did see very nice more than 35% year-over-year growth in orders getting in. As for the earth observation, it typically has the same margin profile that we see on those kinds of deals, which is give or take the average of Gilat, between, I would say, 30% to 40%.
Sergey Glinyanov: Great. Thank you. That's all from me.
Operator: The next question is from Louie DiPalma of William Blair. Please go ahead.
Louie DiPalma: Great. Adi and Gil, good afternoon. Hi, Louie. How are you?
Adi Sfadia: Excellent. I'm following the private placement, what areas of M&A are you targeting?
Adi Sfadia: That's a very good question. So first of all, we are open to we are not limiting ourselves to a specific segment, but our main focus is on the defense. On one hand, we want to increase our market presence both in the US, but we are also focusing on Europe. There is a lot of business in Europe, a lot of budget, especially because of the Russian Ukraine war and conflict between the Trump administration and the European countries. So they want to control their own destiny and increasing their investment in defense. And we see also a lot of traction in secure satellite communication. So we are targeting companies over there. Our main focus is to bring businesses, not to buy technology, and we'll continue to look for companies with great potential. It's something that can be significant to the company's revenues. So it could be with revenues of $50 million and above or maybe $100 million and above. And it should be accretive as soon as possible. It's not that we are not we will not buy a company that needs a turnaround, and we know how to do that. We did that in DataPath. We bought a company with less than $40 million in revenues, and close to breakeven, and now it's almost double their revenues. We're also looking to expand our addressable market in adjacent markets, for example, radar solutions, electronic warfare, and things like that. But it will be something that we are considering. We are doing internal work to define exactly where we want to focus. But also, we might be opportunistic here. In addition, we invested in the past in a startup with unique technology, a company called Crossroads, and we'll continue to look for unique technologies, either a minority investment or taking control. But it's not something that is going to change the overall financials of the company.
Louie DiPalma: Great. And secondly, did Stellar Blue attain the second milestone related to the $120 million in new backlog by December?
Adi Sfadia: So, no, they didn't attain the airline milestone. They achieved around slightly above half of it. A very large order that we are expecting to get slipped into 2026. We know that it's being processed. We expect to get it, if not by the end of this quarter, so early next quarter. It's not affecting our revenues for 2026 because revenues for 2026 are already in the backlog. There is a nine to twelve months lead time on the main components of the terminal. So we are pretty close for 2026. We can affect it here and there, but not materially. The order that we are expecting should be delivered mainly in 2027. And since we need to deliver it based on customer needs, if it will arrive today or within two months, it's not really a big issue from our perspective. I would like to emphasize that from our perspective, the risk of delivery and the risk of new business is mitigated. We see the very good acceptance of the antennas in the market, the very good quality, the availability of more than 95%. More than 420 aircraft are connected and more than 500 delivered in 2025. So we know for a fact that the risk that we wanted to mitigate are mitigated. We do expect to see future growth.
Louie DiPalma: And what was Stellar Blue's revenue in 2025, and what is the general projection for growth in 2026?
Adi Sfadia: So revenues for 2025 were about $127 million within the range that we gave between $120 million to $150 million. Today, Stellar Blue is, in 2026, closely integrated with Gilat's business. It's hard to break the P&L. We do expect from a revenue perspective to see a double-digit growth in unit deliveries.
Louie DiPalma: And one final one. Did you previously indicate that you made progress with Airbus for the inclusion of Sidewinder into its line fit program?
Adi Sfadia: So we do have an agreement together with SES to bring the Sidewinder to be line fit with Airbus. SES will be able to install the terminal within Airbus premises. It's not yet part of the official Airbus plan of the HBC plus.
Louie DiPalma: Great. Now that is still seems fairly positive. Thanks.
Adi Sfadia: I agree. Thank you, Louie. See you soon.
Operator: The next question is from Chris Quilty of Quilty Space. Please go ahead.
Chris Quilty: I just want to a little bit on Stellar Blue. I think the other the next set of milestones, say, for targeting those with the large strategic contracts. I think those are separate from the large order just mentioned. Which is more of a commercial customer. Can you give us an update on how they're progressing on some of those strategic orders?
Adi Sfadia: Chris, you're a bit disconnected. Can you repeat the question, please?
Chris Quilty: The question was whether you've made any progress with Stellar Blue on some of the strategic opportunities that they're pursuing.
Adi Sfadia: Okay. So you are referring to the third earn-out. We are making some progress with one company that we cannot name yet. It's progressing well. I don't know if we'll be able to close everything by the end of the milestone, which is by June, but it seems promising. We are progressing. I want to remind you that it's not just signing the agreement. It has some technical conditions as well. It needs to come with a minimum order commitment of at least $35 million with a gross profit, which is significant, almost double the gross profit that the original units booked had. And come with a relatively significant down payment. The pause in the discussion with the customer seems like applying to those conditions, but it's still in early stages. I cannot comment if it will be closed or not.
Chris Quilty: Understand. And would those products require significant changes in manufacturing or design? And where do you currently stand in the production rate?
Adi Sfadia: So those future products might require significant design. A lot of our product and a lot of our design changes are approved relatively quickly because Stellar Blue's expertise is with those certifications, working based on qualification by similarity. But in some of the cases, we are offering a different variation of the terminal with a cheaper design. It really depends on the customer. In terms of production, we said at the beginning of the year that we expect to reach 60 to 70 units per month. So we reached this run rate. During the fourth quarter, we delivered 190 full terminals, including on top of it, we delivered some spare parts. We can increase this production rate with relatively small capital investment. But right now, this production rate is give or take in line with customer expectations for delivery. During the year, we delivered more than 500 units. In Q4, it was a record quarter in terms of deliveries.
Chris Quilty: Understand. And should we expect the deliveries to be relatively even across the year or there's a seasonal pattern to that?
Adi Sfadia: No. In 2026, we expect it to be linear across the year. Of course, it can be small changes between the quarters, but it's expected to be linear.
Chris Quilty: Understand. And staying on IFC, do you have an update on, let's say, ESR 2030 terminal? I think that was supposed to be charging early this year for delivery. Is that still on track? And maybe more broadly, what are your evolving thoughts on what is the sweet spot of the flat panel antenna market both in terms of your, you know, fan or, you know, single beam, dual beam, where are you taking in the new product direction?
Adi Sfadia: So in terms of the ESR 2030, we passed qualifications and we expect to start delivering production units probably in the second half of the year. It really depends when Gogo is ready to accept them. Know that Gogo is promoting the terminal and already have some small awards that they want to install those antennas. So I think it's on track for the year. As for the future roadmap, you know, the antenna currently doesn't support simultaneously dual beams. The plan is that the next generation of the product will support dual beam. But usually, it comes with customer demand. So it's really what matters to their customer. Fast time to market or he has the time to wait for a new version of the antenna with dual beam capabilities.
Chris Quilty: Right. And I assume based on the earlier or the delay in the large order, the backlog probably dipped below $1,000. Where do you expect it to finish out, say, maybe by midyear and then from here?
Adi Sfadia: It's a good question. We do not disclose the number of units that we have in backlog. I can say that at year-end, we are give or take at the same level that we are at the beginning of the year, maybe slightly below. We do expect to finish the year with a backlog that will cover us for at least 2027 and beyond.
Chris Quilty: Great. Thanks for the update.
Adi Sfadia: Thank you, Chris.
Operator: The next question is from Gunther Karger of Discovery Group. Please go ahead.
Gunther Karger: Yes. Thank you. Good morning. Excellent year, excellent quarter. Congratulations. My question is, we haven't heard in a long time about high-speed ground transport, like high-speed rail. There was a project on the way, I think, in China on that. Any updates on that in that area?
Adi Sfadia: Indeed, I remember the project in China, I think it was ten years ago when I just arrived at Gilat, was promising back then. But since then, we didn't see a lot of traction. We do have here and there some terminals that we are selling for fast trains around the world, but it's in limited numbers. And right now, it's not our main focus. Thank you.
Gunther Karger: Thank you, Gunther.
Operator: If there are any additional questions, please press 1 or use the raise hand button. Please stand by when we pull for more questions. There are no further questions at this time. Mr. Benyamini, would you like to make a concluding statement?
Gil Benyamini: Thank you. I want to thank you all for joining us on this call and for your time and attention. We hope to see you soon or speak with you in our next call. Thank you very much, and have a great day.
Operator: Thank you. This concludes the Gilat Satellite Networks Ltd. 2025Q4 results conference call. Thank you for your participation. You may go ahead and disconnect.